Operator: Good day, ladies and gentlemen and welcome to the Matson Second Quarter 2017 Earnings Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Mr. Lee Fishman. Sir, you may begin.
Lee Fishman: Thank you, Bruce. Joining me on the call today are Matt Cox, Chairman and Chief Executive Officer and Joel Wine, Senior Vice President and Chief Financial Officer. Slides from this presentation are available for download at our website, www.matson.com, under the Investor Relations tab. Before we begin, I would like to remind you that during the course of this call, we will make forward-looking statements within the meaning of the Federal Securities Laws regarding expectations, predictions, projections, or future events. We believe that our expectations and assumptions are reasonable. We caution you to consider the risk factors that could cause actual results to differ materially from those in the forward-looking statements in the press release, the presentation slides, and this conference call. These risk factors are described in our press release and are more fully detailed under the caption Risk Factors on Pages 11 to 18 of our 2016 Form 10-K filed on February 21, 2017 and in our subsequent filings with the SEC. Please also note that the date of this conference call is July 31, 2017 and any forward-looking statements that we make today are based on assumptions as of this date. We undertake no obligation to update these forward-looking statements. I will now turn the call over to Matt.
Matthew J. Cox: Thanks Lee and thanks to those on the call. Before discussing the results I wanted to welcome Lee Fishman to the Matson team. Over the coming weeks Lee will be working closely with Jerome Holland as Jerome transitions to a new role with enhanced responsibilities at Matson. I am excited for Jerome and the opportunities that lie ahead for him. Onto our second quarter results, Matson's operating results outperformed our expectations, buoyed by stronger demand for our expedited China Service, improved lift volume at our SSAT Terminal joint venture, and improved performance at Logistics. In addition the timing impact of our fuel surcharge collections provided a year-over-year tailwind after several quarters were burdened by the impact of bunker fuel price increases that occurred in late 2016. These stronger than expected trends were moderated by lower construction related cargo to Hawaii as the boom of high-rise condominium developments in Honolulu has begun to ebb and other real estate projects has yet to advance to the stage of development that translates to meaningful container volume. I feel good about where we are and I am encouraged by the strength of our second quarter results. However, looking ahead we see some areas of uncertainty and are not prepared at this time to raise our outlook for the full year. We continue to expect modest improvement in each of our core trade lanes with the exception of Guam where we expect further competitive losses due to the launch of a competitor’s second ship. As a result we are affirming our outlook for Matson’s 2017 operating income to be lower than it was in 2016 and expect EBITDA to approximate the $288.6 million last year. Slide 4 highlights our financial metrics which Joel will describe in more detail later. In the second quarter 2017 we earned net income of $24 million or $0.55 per share and generated EBITDA of $85.1 million. In year-to-date 2017, Matson earned net income of $31 million or $0.72 per share and generated EBITDA $137.4 million. Turning to our Hawaii Service on slide 5, while Hawaii economy continued to show modest growth in the second quarter of 2017, Matson’s container volume declined year-over-year. The early part of the second quarter of 2016 benefited from volume gains when Pasha was struggling with service changes and related issue and construction related cargo was lower at the construction cycle in a lot we transitioned from high rise projects to the master plan community projects in West Oahu. As a result we're now expecting our Hawaii volume to be modestly lower than the level achieved in 2016 which also benefited from a 52 week. In addition we continue to expect higher than normal operating expenses in 2017 as we've been undertaking the once every five years dry docking of our neighbor island barges. We continue to evaluate our fleet deployment in Hawaii and look for opportunities to improve utilization and lower operating costs while maintaining our leading service. We expect to move between a 10 and 11 ship fleet over the next several months as we navigate through a heavy dry docking schedule, retire older vessels, and progress towards our long-term deployment with the most modern vessels in the trade. Moving on to slide 6, for the latest economic stats and forecasts from UHERO or the University of Hawaii Economic Research Organization. The Hawaii economy continues to perform well with visitor’s arrivals up, unemployment down, and hotels operating at very high levels of occupancy. While the multi-year ramp up of construction has eased, UHERO expects a new activity in the pipeline to maintain employment near current levels for the next several years generating smaller net gains and job growth next year followed by gradual decline on the down side of the building cycle. Building on the Neighbor Islands which is like well behind Oahu has begun to show signs of life and is expected to show further expansion but, the pace is expected to remain well below the mid 2000s boom. Turning to slide 7, we wanted to again highlight our Hawaii fleet renewal program. The construction of our four ships remain on budget and on track for scheduled delivery. For your benefit we've included an updated progress payment schedule by year. Before moving on I wanted to provide some comments on Philly Shipyard's recent speculative announcement regarding the construction of additional container ships for the Hawaii trade. First, Philly Shipyard has not announced any firm vessel orders beyond the construction of Matson’s two vessels. Second, while they recently announced the signing of a LOI, they have not named a counter party. Third, we believe that adding new or incremental vessel capacity to a market that is well served by existing capacity of encumbered operators today is uneconomic. As you may know our primary competitor in Hawaii has announced the selection of a shipyard in Texas to build two new vessels that will address their fleet renewal needs. Fourth, the severe losses experienced overtime in Puerto Rico and Transpacific trade lanes provide examples of the detrimental impact that overcapacity can have in this business. And lastly, as a new entrant we need to commit substantial infrastructure capital beyond the ships themselves to launch an effective service to Hawaii. Notwithstanding our views, Philly Shipyard has a history of building vessels on a speculative basis so we can't dismiss this announcement. Regardless of what happens I believe Matson will be positioned better in this market than anyone else to maintain our long standing position as the market leader in Hawaii. Moving on to our China Service, Matson's volume in the second quarter of 2017 was 15% higher year-over-year primarily due to stronger demand for our expedited service offering and an additional voyage in the second quarter of this year as we were able to load one of our vessels with Eastbound cargo on its return to service from dry docking in China. For the balance of 2017 we continued to expect our proven service to be highly differentiated with a service advantage over the international carriers in the Transpacific. Matson's advantage results from several factors including our industry leading transit time, efficient cargo offloading at our dedicated terminal in Long Beach, and superior on time performance. Longer-term we view the consolidation of international carriers and reformulation of the new alliances in April as potential sources for market improvement longer-term in the China trade. Turning to slide 9, as expected Matson's Guam volume in the second quarter declined year-over-year due to further competitive losses to APL's U.S. flag containership service that increased its frequency to weekly in December of 2016. We continue to fight to retain every container of our customer's business and owing to our long history in Guam with strong customer ties and five to eight day service advantage from Oakland and LA Long Beach we expect to retain an outside share of the market. Our goal continues to be to limit any competitive volume losses. As we expect this to be highly competitive market situation, we will not be providing any more specific market share comments beyond that goal. Moving now to slide 10, in Alaska Matson's container volume for the second quarter of 2017 was 1.1% lower year-over-year, primarily the result of continued energy sector related economic contraction partly offset by a better seafood harvest and related Southbound volume. For the full year 2017 we continue to expect modestly lower volume based on declining Northbound freight due to ongoing contraction of Alaska's energy based economy partially offset by improved Southbound seafood volume. In addition with the installation of exhaust gas scrubbers on our three diesel vessel serving Alaska now complete, we don't expect to regularly deploy our less efficient steamship reserve vessel in 2017 resulting in lower expected vessel operating and dry dock release expenses. I would also like to point out that last week the Anchorage Economic Development Corporation or AEDC published its annual 2017 three year economic outlook. Overall their outlook is consistent with what we've been hearing from our customers in Alaska pointing towards a muted economic environment this year and next with a return to slight growth in 2019 and 2020 as things stabilize. Turning next a slide 11, our terminal joint venture SSAT contributed $6.9 million in the second quarter of 2017 compared to $3 million in the second quarter of 2016. The year-over-year increase was primarily due to improved lift volume. For the full year 2017, we now expect SSAT to make a higher contribution to our ocean transportation operating income that made in 2016 as lift volume is benefiting from the launch of the new global shipping alliances as container flows and supply chains are readjusted between West Coast terminals. Last quarter we announced plans to expand our relationship with SSAT to include Matson's Tacoma terminal where our Alaska vessels operate before the end of this year and those plans remain on track. Turning now to logistics on slide 12, the second quarter 2017 benefited from a full quarter of freight forwarding operating results from Span Alaska. Even while facing the challenging economic headwinds Logistics generated stronger operating results and offset some of last quarter's weakness. We're affirming our full year 2017 logistics operating income to be approximately $20 million. While the inclusion of Span Alaska's freight forwarding business for the full year is expected to be the main driver of the year-over-year increase, we do have other revenue and cost savings initiative underway to help offset the margin pressure in our brokerage business. And with that I will now turn the call over to Joel for a review of our financial performance and our outlook. Joel?
Joel M. Wine: Thanks Matt. I'd also like to take this opportunity to welcome Lee to the team and say thank you to Jerome for his many contributions. Since early 2013 Jerome has led our IR efforts at Matson and I'm very excited about his promotion to Lead Strategy and Corporate Development for our Matson Logistics unit going forward. As for Lee, he comes to us with over 10 years of public and private equity experience and prior to that seven years of investment banking experience during which I had the pleasure of working directly with him. We're lucky to have Lee on board at Matson. Now on to our results on slide 13, ocean transportation operating income increased year-over-year in the second quarter primarily due to higher average freight rates and container volume in China, favorable timing of fuel surcharge collections, higher contribution from SSAT, and higher freight rates in Hawaii. Partially offsetting these favorable year-over-year comparisons were higher terminal handling expenses, higher vessel dry docking amortization expense, and lower container volume in Hawaii and Guam. The company's SSAT terminal joint venture investment contribution increased by 3.9 million year-over-year due primarily to improved lift volume. Logistics operating income increased by 4.7 million year-over-year primarily due to the inclusion of Span Alaska's freight forwarding operations. On slide 14, year-to-date ocean transportation operating income decreased primarily due to higher terminal handling costs, higher vessel dry docking amortization expense, and lower container volume in Hawaii and Guam, partially offsetting these unfavorable year-over-year comparisons or higher container volume and average freight rates in China, and higher contribution from SSAT. Logistics operating income increased 5 million primarily due to the inclusion of the acquired Span Alaska freight forwarding business and higher intermodal volume. Partially offset by lower intermodal yield. Turning to slide 15, for a summary of our balance sheet, you'll note that our total debt at the end of the quarter was 753.9 million and our net debt to LTM EBITDA ratio was 2.5 times. As previously announced on June 29th we entered into amendments to our existing unsecured revolving credit facility and long-term private note agreements. Our unsecured revolver was increased from $400 million to $650 million and extended for a new five year term maturing in June of 2022. We also made a number of amendments to our existing note purchase agreements including modifications to certain definitions and covenants where in particular the consolidated leverage ratio covenant was amended to provide for additional flexibility during Matson’s new vessel construction period. Slide 16 shows a summary of the manner in which we allocate our cash flow generation. For the last 12 months ended June 30, 2017 we generated cash flow from operations of 142.4 million and undertook net borrowings of 289.9 million from which we used 195 million to close our acquisition of Span Alaska, 69.1 million on maintenance CAPEX, and 127 million toward deposits and progress payments on the new vessels. And lastly, we also return nearly $40 million to shareholders via dividends and share repurchases. As a reminder our LTM maintenance CAPEX has been higher than our normalized range of $40 million to $50 million per year. This was as expected and is primarily due to the completion of the scrubber insulation program on our Alaska vessels and other capital projects related to what has been a relatively heavy dry docking last 12 months for us. Finally on June 29th our Board announced the fifth consecutive annual increase to Matson’s quarterly dividend underscoring their confidence in the long term prospects for our business and commitment to rewarding shareholders through dividends. While we expect leverage to increase as our Hawaii fleet renewal program progresses, our healthy balance sheet, strong operating cash flows and continued access to attractive financing sources provide ample capacity to fund new vessels construction, consider growth investments, and return capital to shareholders. With that let me now turn to slide 17, to discuss our full year outlook and provide our thoughts on the third quarter of 2017. As Matt indicated we feel good about our year-to-date results especially the strength shown in the second quarter particularly in our SSAT business and a good performance and resiliency shown in both our Alaska and China businesses despite underlying weak market conditions. Nevertheless despite these strengths there do remain other uncertainties such that as a result we are reaffirming our full year outlook at the previously stated levels in our last earnings call. To start with, we continue to expect full year 2017 consolidated EBITDA to approximate the 288.6 million achieved in 2016. And based on our increased capital on dry docking spending, we expect depreciation and amortization to increase by about 15 million this year to 150 million inclusive of approximately 50 million of dry docking amortization. Which would lead to 2017 consolidated operating income of approximately $140 million, and of that total, as Matt mentioned earlier we continue to expect logistics operating income to be approximately $20 million. From those items it follows that we expect ocean transportation operating income for 2017 to be lower than the 141.3 million achieved in 2016. We expect interest expense for the full year 2017 to be approximately 25 million and our effective tax rate for the full year to be approximately 39%. In the third quarter 2017 we expect ocean transportation operating income to be moderately higher than the 42.7 million achieved in the third quarter 2016 and we expect logistics operating income in the third quarter 2017 to approximately double the 3.5 million achieved in the third quarter 2016. I will now turn the call back over to Matt for his final remarks.
Matthew J. Cox: Thanks Joel. Looking ahead I remain confident in the long-term prospect and strong cash flow generation of Matson's core businesses which will provide the foundation of our fleet renewal investments and continued value creation for our shareholders. And with that I'll turn the call back to the operator and ask for your questions. Thanks.
Operator: [Operator Instructions]. And our first question comes from Jack Atkins from Stephens. Your line is now open.
Jack Atkins: Hey guys, good afternoon. Thanks for the time and Jerome congratulations on your new role.
Matthew J. Cox: Thanks Jack.
Jack Atkins: So, if I could just start with a couple of questions about Hawaii, you referenced in the press release and also in your prepared comments around some slowing construction trends in Hawaii as a high rise boom there sort of events, could you refresh us on what your LTM or maybe if it is more helpful this way, 2016 volumes which were tied to construction, what sort of levels were they and sort of how should we think about future growth within that particular customer vertical, do you think you can sort of hang on to the volume levels that you have now or do you anticipate those may be ebbing a bit as we look out over the next couple years?
Matthew J. Cox: Yeah Jack, I'll take that and then I'll toss it over to Joel for some of the specific figures. But our feeling, it's an interesting environment. I mean if we see the Hawaii economy continue to provide well. I mean we talked about unemployment, state product, visitor arrivals. We can add the banks who are reporting record earnings and loan growth and deposit growth. So overall the economy feels good here. And I think we eventually will see an ebbing. I think where we are now though is that a lot of that high rise construction is in its final stages. We are excited about the long-term prospects in West Oahu, single family homes, and planned development activity. The light rail system is still underway. There's a healthy amount of military construction, there's other infrastructure work that continues to need to be done to the sewer systems and other things. So, we feel okay about the economy and its prospects. It's just there are periods where we're at least at this point seeing a flattening out of that freight that is related to containerized volumes. And so again we're feeling okay, we're seeing it's a little flattened out, it's likely to be somewhat flattish over the next few years in containerized volumes but consistent with a relatively healthy economy. And that's how it's going to be relatively slow growth over these next few years but still growing is kind of the way we're thinking about it at this point. 
Jack Atkins: And then onto specific volumes. 
Joel M. Wine: Yeah, and Jack on the volumes we have put in perspective. We don't report the exact volumes by subcategory but we have commented that it's been a single-digit number, a high single-digit number over the last couple of years. And to put that in perspective, the construction volumes at the previous peak if you go back to the 2000s was up into the teens. And then that came down to almost zero as all the construction projects ran off in 2009, 2010 and 2011 and then built back up to a mid to high single digit type of number by the time you roll into 2014, 2015, 2016. And that's where we believe it will kind of stabilize and we'll go through ebbs and flows as certain markets transitions as Matt talked about. But, that puts an order of magnitude on it for you.
Jack Atkins: Okay, that's helpful Joel. So it sounds like volumes are certainly higher than they were during the recession but nowhere near where we they peaked out in sort of the mid 2000, so that's helpful color. You know Matt I guess for my second question you referenced the Philly Shipyard announcements, and I don’t want you to get too into that because obviously there are some sensitivity around that, the specific topic but I would like for you to maybe expand for a minute around some of the infrastructure issues that you referenced which may make having a certain competitor come into Hawaii more challenging. If you can just sort of expand on that so I think that is maybe something your folks will understand. It's one thing to build a vessel but it's not that we will be able to unload cargo for example. If you could just sort of comment on that I think that would be helpful for folks?
Matthew J. Cox: There is adequate berth space in Honolulu Harbor. What they lack are crane rails and gantry cranes that would allow for the efficient loading and unloading of these large 3600 TEU vessels. There has been a harbor modernization project here in the state in Hawaii and it's focused on building a brand new terminal across from Sand Island where Matson’s operations is that Pasha will be moving into and Matson will be moving -- right now Pasha is just next door on Sand island. They'll be moving to a new site and Matson will get the full reach of the terminal. Matson currently is at three different locations in the harbor complex, having Pasha move across to a new terminal would allow Matson to be onto a single terminal, allow a certain efficiencies, and is long overdue. There are no other places in the state that have real amount of gantry cranes that would allow for the efficient unloading. So an operator here would have to use Mobile Harbor cranes and with these very large ships its not doable but it's highly inefficient and so it's just another obstacle that any operator would have to deal with.
Jack Atkins: Okay, that’s helpful Matt. Last question for me, I'll turn it over. I know that you all reiterated your 2017 outlook for the logistics business but it just seems like that segment has been outperforming over the last several quarters since the Span acquisitions. So I’m just sort of curious maybe Span outperforming your expectations relative to when you made that initial purchase and if you could maybe comment around what's happening in the quarter in highway, intermodal logistics business which I know has been relatively challenging but it seems like it's holding up okay?
Joel M. Wine: Yeah, I think I can’t comment Jack. I would say as you know when we did the first -- when we initially announced the acquisition of Span Alaska we were well aware of the slowing economy in the State of Alaska. And our own internal expectations and the value in which we applied to a multiple of earnings was also lower. Understand that we'd be going into a period of lower volumes in the State and I would say that we've done a little better than our modest expectations at the time we did the acquisition. So that's a positive. The other thing I would note is, like Matson’s Alaska operations, Span Alaska is more focused on the anchorage market rather than the North slope and some other sectors in the state that have been much more hard hit. So both Matson’s ocean volumes and Span's each of which has focus again on the Anchorage economy rather than the North Slope has allowed it to suffer a bit less than other operators and a little bit less than our own expectation there. So with regard to other lines of business Jack, we've seen some of the same margin pressures that other intermodal operators have reported. But, we continue to perform well in each of our lines of business; rail and truck brokerage, the warehousing businesses, each of our lines of business is doing well. And again, we are acknowledging that we're seeing some of the same margin weakness that others are seeing on the intermodal side especially. But overall we're feeling good about and continuing to invest in the various lines of our business outside of the Span Alaska business. So we're feeling okay about logistics Jack. 
Jack Atkins: Okay, great. Well Matt thanks again for the time and congratulations on a nice quarter. 
Matthew J. Cox: Thank you.
Operator: And our next question comes from Ben Nolan from Stifel. Your line is now open.
Benjamin Nolan: Yeah, thanks. So my first question relates to SSAT, it was really quite a quarter on that front it seems like. And you alluded to the changing about alliances and that sort of thing that is being helpful. Can you maybe help me from a longer-term perspective, do you think this is a bit of a new normal or was there something in the quarter that be it seasonality or whatever that made it exceptionally good?
Matthew J. Cox: Yeah Ben, this is Matt. I think we're feeling good about our position. So I think this we -- there was a fair bit as we mentioned in our prepared comments of moving around either from acquisitions or from the reformation of alliances and the use of individual terminals and many shipping lines have their own terminals on the West Coast. But as it all settled out it looked like SSAT although there were some negatives and some positives at terminal by terminal on the West Coast, overall we've ended up with more freight volume and the SSAT business, terminal operating businesses are highly sensitive as you know to volume because it's largely a fixed cost business. And if you can put more volume over it, it provides a tremendous leverage from an operating perspective. So we see it as the new normal. I mean we will see if there are other acquisitions and other things that happened but based on the recent reformulation of these alliances and they're all settled in, we expect this level of volume to continue. 
Benjamin Nolan: Okay, well that is good news. And then sort of as it relates to specifically the Hawaii trade and I know how the whole new competitor thing plays out is still very much up in the air. But didn’t notice that I think one of the Asia Minor services announced that they were expanding on their Asia trade directly to Hawaii, how big of a risk is that to your overall business or is it just sort of on the margin and probably not very impactful? 
Matthew J. Cox: I would say closer to the second of your two explanations but I will provide a little context. So what we had seen -- so Matson carries a small amount of freight from Asia on our CLX service that goes all the way from -- it will be loaded in Shanghai Ning Bo that would go well all the way around to L.A. Long Beach, stay on our vessel there, and then get discharged in Hawaii. And again because of the relatively longer transit time we do carry some cargo but not a lot. The primary carrier has NYK, a Japanese line. APL who we compete with in Guam has announced its intention to start a service from Asia to Hawaii in competition with NYK and which A) NYK has announced that it was increasing its frequency from every two weeks to every week. And so that segment, that is the Asia to Hawaii segment totally unrelated to our West Coast to Hawaii segment. It looks like it will get more competitive. Matson as I said carries a very small amount of that cargo. Some of our cargo originates from Neighbor Islands for which the other carriers don't have connecting services. So while we might see some pressure on the margin we don't expect it to be very significant.
Benjamin Nolan: Okay, and then lastly from me. I know once or twice a year something is added to this on the Pacific side, most recently with the Marshall Islands, U.S. flag business. I'm curious how deep into your footprint you are with respect to that part of the world. Now I mean is there still much more wood to be chopped or are you pretty close to where you think that ultimately you could be?
Matthew J. Cox: I think we -- as you know we've been interested in trying to link our network in Honolulu and Guam to increase our presence in the regions around it. I would say that we were excited about increasing our frequency of service to the Samoans and Fiji with our South Pacific Express which again has off of our terminal in Honolulu. We do think there is more there. These are small markets but I think we’ve been competing effectively and make money as bolt-ons into these adjacencies. And so I think there is more for us to do, we will do this over time. And again I would just remind investors these are relatively small markets. So there is earnings potential but, I think most either should or should be viewed within the context of a bolt on that provides relatively modest enhancements. But again it leverages our network and allows us to grow organically. So it's definitely desirable from our perspective. 
Benjamin Nolan: Right, okay well that does for my questions. Thanks a lot. 
Matthew J. Cox: Thank you, Ben.
Operator: And our next question comes from Steve O'Hara from Sidoti & Company. Your line is now open.
Stephen O'Hara: Hello?
Matthew J. Cox: Hi Steve.
Stephen O'Hara: Sorry about that. How are you doing? A question on the areas, it sounded like you were unsure about relative to your guidance and kind of sticking with the current guidance, we are talking about Guam and maybe Alaska and China rates, or was there something else in there that or maybe one of those wasn’t there?
Matthew J. Cox: Well, it's a combination of things. I mean I think as we or Joel mentioned in the call we have continued to do better than our expectation in China and our service remains highly attractive and highly differentiated. And so that was an area of strength. SSAT was an area of strength. We had a bit of concerns about the growth in the Hawaii market, at least where it is at this point in time that's a question for us. And as you pointed out Guam remains a dynamic situation and highly competitive. So little hard to predict on those areas. So, we have some things that we think are strong and will continue to be strong and Alaska we've done well in a weaker economy than we expected. So we've got some things that are a little on the positive side, a couple of things that we're watching closely which has provided us a balance of not wanting at this time to change our full year outlook despite a second quarter pretty good performance.
Stephen O'Hara: Okay, thank you. And then just on the Philly Shipyard, I guess if they go ahead and build them on spec as you’ve said they've done in the past, what else is happening with those ships if somebody decide to kind of take them and use them anyway, they were maybe planning onto entering the market, it seems like a bit of a -- it doesn’t seem logical but just wondering what you’re feeling might be there? And then could these ships be used in other contract trades where somebody else beside use, why they can use?
Matthew J. Cox: Yeah, I mean it's really unclear where the pathway forward for these ships are and their operator whether they get built at all. If they get built where do they get deployed. I mean clearly the shipyard has focused on Hawaii so if they're a stakeholder in it then presumably that's where they go. If you look at the other primary Jones Act trade, Puerto Rico they have as I understand at least four new container vessels and a barge operator there. So that market is relatively well covered. Alaska as we know is well covered with the existing incumbents as is Hawaii. So exactly while they have announced their intention to look at this as a business it remains unclear given that the market is adequately tonnage with the existing or incumbent competitors. So it's a real big question mark for us Steve and difficult to speculate on exactly how this all shakes out.
Stephen O'Hara: Okay and then does that news change your plans on retirements or has it changed your plans on retirements or keeping best longer than maybe you’ve expected or is it kind of hurdle you intend to cross later on?
Matthew J. Cox: Yeah we don't intend to have any changes with again with our four new ships. We're going to be able to retire seven of our near end of life steamships and have a fully modern compliant fleet. And so we're going to continue on our plans are not changed at all by this speculative order.
Stephen O'Hara: Okay, alright. Thank you very much. 
Matthew J. Cox: Okay, Steve, thanks.
Operator: And our next question comes from Michael Webber from Wells Fargo. Your line is now open.
Michael Webber: Hey, good morning guys. How are you?
Matthew J. Cox: Good Mike.
Michael Webber: Hey good. Matt, I wanted to follow-up with a couple questions on Philly. In your prepared remarks you come to a worst case scenario in which I would have to imagine the worst case scenario since its Puerto Rico. It is relatively appropriate but you also mentioned that regardless you’d be positioned as a strongest player which seems like a pretty rational statement. I guess my question is do you view being the strongest player in a market that comes to resemble Puerto Rico as being an acceptable outcome to the current situation being if you guys have a cost of capital advantage over everyone in the space. Do you think that it would that be an acceptable outcome in your mind?
Matthew J. Cox: Well, I don't know if I would use acceptable or not acceptable. I would say if it happens we will be prepared to react to it. Of course it's unwelcome and unwise so, but owing to our scale efficiencies and our other sources of income and the long standing position we have in this market we expect to be here and remain here. You know exactly how this dynamic happens, we do note that another more capacity entering the market is something which will likely not produce an acceptable economic return to the person coming into the trade. Certainly we don't -- we would also expect to be negatively impacted but beyond that it's hard to say exactly how it shakes out. 
Michael Webber: Alright and you mentioned I mean this is not a new trade for them, right. This has happened once or twice before most recently with some tankers. So I am just curious are there -- is there a point in time or a benchmark that you guys look at, at which point you get more aggressive and/or creative around either taking those ships out or trying to find some sort of solution to keep that Puerto Rico scenario from happening? Are we there yet, is there a milestone that you look at so okay now we really got to get serious about dealing with this?
Matthew J. Cox: It's just that what we've said is what we know. It's really hard to speculate beyond that Mike.
Michael Webber: Okay, fair enough. Joel, just one more from me. You went through the details on bumping the revolver, I think that got announced I think in June. Can you remind us what your fire power is right now beyond the capital that is required to deliver the existing order book?
Joel M. Wine: Just reminding on the revolver, so we had a 400 revolver up to 650. If you look at our available borrowings under that it would be in a magnitude of 250 million of available capacity. If you look at where our covenants are struck and we've got some flexibility go above that, but we are the low end of the covenants are. So we've got firepower there, we've got ready access to additional capital should we seek to do that or need to do that in the next two years. And then in addition Mike you’ve got the cash flow coming from the business, the cash flow from operations less the maintenance CAPEX over the next two years as well. So through all those items what plenty of capital to fund the remaining payments on the vessels. But it will be a combination of those different factors not just from the revolver availability? 
Michael Webber: Right now I'm just thinking about excess capital to deploy maybe elsewhere beyond what you've already got allocated for the vessels? 
Joel M. Wine: Yeah, we don’t, let me just say we don't feel capital constrained. I mean as and when opportunities come up we believe we believe will be able to pursue those we are very mindful of where that leverage ratios going. Support for us to maintain investment grade statistics and that was reflected in the amendments that we worked on with our lending group. So we are very mindful of where that is out but in general we don't feel capital constrained to pursue opportunities as they come our way.
Michael Webber: Fair enough, actually one more for me before I turn it over. And Matt this is just a quick detail question. The new orders at Philly I think they're being classified as Aloha class like, is that -- do you guys actually have IP at Philly with the Aloha class, would those actually be Aloha class vessel that are getting built or are they just built to similar specs?
Matthew J. Cox: We don't have IP, in today's world a lot of these vessel sizings are electronic. There are some proprietary features of the vessels which they are not able to replicate, which are unique to the Hawaii trade without going into specifics about what those are. And the vessel is generally generic vessel. I mean I would say generic, its dual fuel, it's high spec and high capability. I don't mean to suggest otherwise but it's not that it doesn't have a ton of IP in it that they can't replicate using their Korean technical partners. 
Michael Webber: Okay, that's helpful. Alright, thanks for the time guys, I appreciate it. 
Matthew J. Cox: Okay, Mike thanks. 
Operator: And the next question comes from Kevin Sterling from Seaport Global. Your line is now open.
Unidentified Analyst : Hey, good afternoon everybody. This is actually Will on for Kevin. I just wanted to really quickly double check some numbers I think I heard I was trying to scribble it all down. Operating income forecast for 2017 of 140 million with 20 they're going to logistics. And operating income for the ocean in Q3 moderately higher year-over-year. 
Matthew J. Cox: Correct. 
Unidentified Analyst : So that kind of implies Q4 we're going to be down from below Q4 last year, can you kind of talk about the Q4 dynamics, is that a larger top line step down, more expenses, what is kind of going on Q4 there?
Matthew J. Cox: Will, this is Matt. I will comment and then I'll ask Joel to comment. One of the items year-over-year was that we saw with Hanjin bankruptcy we saw very, very high China demand post Hanjin bankruptcy as there was a lot of stranded freight in the market. We expect the fourth quarter -- as you know the fourth quarter a lot of the seasonal holiday shipments are moving in the third quarter and early in the fourth quarter but are mostly shipped for the quarter in order to make holiday sales patterns. And so, we don't expect quite a strong a fourth quarter in our China Service as we did last year. And then I'll turn it over to Joel to comment on other factors that might be noteworthy. 
Joel M. Wine: Yeah, that's a factor. The other one is when we are at 53rd week. So this year was the 52 week. There's a little bit of an impact from that as well.
Unidentified Analyst : Okay. 
Joel M. Wine: And the last -- the last factors in Guam. So, in Guam you've got a whole year. APL deployed their second vessel to have a weekly arrival towards the end of December of last years. So we have another year of APL in Guam with the weekly arrival versus the last year's fourth quarter. It was only every other week and with the big time transit differential. So that's year-over-year impact when you look at the fourth quarter as well.
Unidentified Analyst : Alright, well thanks. I just wanted to clear that up. That's all from me. 
Matthew J. Cox: Okay, thanks a lot. 
Operator: And at this time I am showing no further questions.
Matthew J. Cox: Okay, operator thank you. I will -- thanks to everyone for listening today. Look forward to catching up with everyone on our third quarter call. Aloha. 